Operator: Good morning and good evening everyone. Thank you for standing by and welcome to TuanChe Limited Second Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Now, I'll turn the call over to your speaker host today, Ms. Cynthia Tan, IR Director of the Company. Please go ahead, ma'am.
Cynthia Tan: Hello, everyone, and welcome to TuanChe's second quarter 2019 earnings conference call. The Company's earnings results were released earlier today and are available on our website, as well as on newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in our earnings release and our registration statement filed with the SEC. TuanChe does not assume any obligation to update any forward-looking statements, except as required by law. Today, you'll hear from Mr. Wei Wen, the Company's Chief Executive Officer, who will comment on our operating results. He will be followed by Mr. Troy Mao, the Company's Chief Financial Officer, who will provide additional details on TuanChe's performance, review the Company's financial results, and discuss the financial outlook. Following management's prepared remarks, we will open up the call for questions. With that said, I would now like to turn the call over to our CEO, Mr. Wen. Please go ahead, sir.
Wei Wen: Hello and thank you everyone for joining us on our second quarter earnings call today. During the quarter, car sales in China continued to plunge due to the uncertainties in the macroeconomic environment and unexpected regulatory changes. According to the Chinese Association of Automobile Manufacturers, passenger vehicle sales further dropped by more than 14% in the first half of 2019. Despite these adverse market conditions, we continued to execute our prudent expansion strategies into lower-tier cities and sustained our growth momentum. Importantly, our net revenues in the second quarter of 2019 increased by 11.9% to RMB203.5 million, that growth was driven by the strong performance of our offline market services, which generated RMB196.4 million in revenues during the quarter and increased by 8% year-over-year. In addition, the continued ramp-up of new business initiatives, including virtual dealership and online marketing services, also contributed to our growth in the quarter. During the second quarter of 2019, we achieved success in three key areas; one, expanding our core auto show business into lower-tier city markets; two, accelerating the development of customized special events; and three, progressing in our virtual dealership and online marketing services. Our success in these areas and a strong brand equity enabled us to maintain a healthy growth trajectory throughout the market downturn in the quarter. First, for our core auto show business, we continued to expand into lower-tier cities while maintaining our industry-leading market share in first- and second-tier cities. Despite China's economic slowdown continuing in the first half of 2019, lower-tier cities have experienced a significant consumption upgrade. In fact, while big-city residents have more disposable income, it is their peers in lower-tier cities and county districts who are more willing to spend a premium on aspirational purchases. In view of this marketing trend, we proactively worked to continue establishing our first-mover advantage in these high growth potential markets during the quarter. As a result, we successfully organized 344 auto shows across 186 cities during the second quarter of 2019, compared to 219 auto shows in 116 cities in the prior-year period. This consistent improvement to auto show geographic coverage once again demonstrated the effectiveness of our prudent expansion strategy, possessiveness of our brand recognition, and the force of our market leadership. Secondly, we continued to accelerate the development of customized special promotion events during the quarter. Due to unexpected changes in government automobile regulations and the challenging macroeconomic environment, both OEMs and 4S dealers are currently under significant pressure to reduce their inventory. By accelerating the development of our customized special promotional events, we help customers to optimize both their consumer experience and the sales conversion rate. As a result, service fees generated from our special promotional events exceeded our previous expectations in the quarter, contributing RMB5.8 million to our total revenues. Further, our recently announced acquisition of Longye International has made meaningful progress. Longye is a leading systems developer that creates and implements social CRM cloud systems for China's automotive industry. Longye's flagship SaaS product, Cheshangtong, provides auto dealers with social CRM services by facilitating the effective flow of information between auto dealers and customers. This acquisition will enable us to help auto dealers digitize their operations, produce actionable analytics, enhance their sales capabilities, and optimize their social media marketing campaigns. Longye has also recently developed an AI-powered, in-store traffic solution and maximized auto dealers' in-store monetization capabilities. This system uses high definition cameras equipped with AI-based facial recognition and biometric technology to produce precise multifaceted user profiles. Based on its profile analysis, the system matches customers to the most suitable sales representative in the dealership while storing the profiles for future follow-up and inspection. This system improves the efficiency and results of an auto dealer's in-store traffic management process while reducing labor costs and mitigating the risks of losing valuable sales leads. We are confident that the unique value provided to auto dealers through these social CRM services will enhance our dealers' stickiness. In summary, our strategy to expand into lower-tier city markets with high growth potential has shown promising results in the second quarter. As we continue to enhance our service offerings to OEMs and auto dealers, we improve our ability to capture additional market share in turn. Despite the current adverse market conditions, we are confident that this work combined with our nationwide service coverage, diversified revenue streams and strong brand equity will fortify our market-leading position going forward.
Cynthia Tan: Now, let's turn the call to our CFO, Mr. Troy Mao. Please go ahead, sir.
Troy Mao: Thank you, Wei. Hello, everyone. Before I start, please be reminded that beginning January 1st, 2019, we changed our revenue classifications and decided to report our net revenues under the following new segments; first, offline marketing services, auto shows; second, offline marketing services, special promotion events; and third, auto dealership, online marketing services, and others. Now, before I move on to our second-quarter financial results, please also note that all numbers stated here are in RMB terms and all percentage comparisons are on a year-over-year basis unless otherwise noted. Despite challenging market conditions in the second quarter, our revenues increased by 11.9% to RMB203.5 million from RMB181.9 million in the same period last year, primarily driven by the revenue growth from our offline marketing services, which increased by 8% year-over-year to RMB196.4 million from 181.8 million in the same period last year. It is worth highlighting that offline marketing services revenues generated from our special promotion events reached RMB5.8 million in the second quarter compared to RMB0.8 million in the first quarter of 2019. Based on the performance of our special promotion events, we have confidence in the business growth prospects and expect that it will continue to contribute to our long-term growth going forward. Despite new car sales in China continuing to decline in the second quarter, the total gross merchandise volume of new automobiles sold through our offline events increased by 7.8% to RMB15.2 billion from RMB14.1 billion in the same period last year. Thanks to our prudent expansion strategies. Meanwhile, the number of automobile sales transactions facilitated during the quarter increased by 12% to RMB110,400 from RMB98,600 in the same period last year. In addition to our offline marketing services business, we also continued ramp-up of new growth initiatives during the second quarter. Revenues from auto dealerships, online marketing services, and others increased to RMB7.1 million during the second quarter. Our gross profit in the second quarter increased by 9% to RMB144.0 million from RMB132.2 million, and our gross margin fell slightly to 70.8% from 72.6% in the same period last year. In the second quarter, selling and marketing expenses increased to RMB217.5 million from RMB109.6 million in the same period last year, primarily due to an increase in staff compensation expenses as well as our advertising and promotional activities, which not only continued to boost our growth, but also further strengthened our brand influence. Selling and marketing expenses for the second quarter included share-based compensation expenses of RMB71.5 million compared to RMB7.1 million in the same period last year. General and administrative expenses increased to RMB28.1 million from RMB22.9 million in the same period last year, which was due to a headcount increase as a result of our business expansion during the second quarter. To a lesser extent, we also incurred higher professional fees and other ongoing expenses as a public company in the second quarter of 2019. General and administrative expenses included share-based compensation expenses of RMB7.5 million and a bad debt allowance of RMB6.8 million in the second quarter. Research and development expenses increased to RMB9.9 million from RMB3.9 million in the same period last year as a result of efforts to improve and innovates our product and service offerings. Consequently, our loss from continued operations was RMB111.4 million in the second quarter compared with RMB4.2 million in the same period last year. Excluding the effect of share-based compensation expenses, fair value loss of warrant and the impairment of investments, adjusted net loss attributable to the Company's shareholders was RMB29.3 million in the second quarter compared to an income of RMB16.1 million in the same period last year. Adjusted diluted loss per share was RMB0.10 in the second quarter compared to a gain of RMB0.17 in the same period last year. Adjusted EBITDA was a loss of RMB30.4 million in the second quarter compared to an adjusted EBITDA of RMB17.7 million in the same period last year. Now, turning to our balance sheet, at the end of June 2019, we had RMB364.3 million in cash and cash equivalents. Let me also give a brief overview of our half-year results. For the first half of 2019, our net revenues increased by 21.2% year-over-year to RMB326.4 million, driven by the 17.4% year-over-year revenue growth in offline marketing services. Gross profit for the first half of 2019 increased by 19.3% year-over-year to RMB232.9 million, and gross margin was 71.4% compared to 72.5% in the first half of 2018. Adjusted net loss attributable to the Company's shareholders for the first half of 2019 was RMB44.8 million compared to an income of RMB3.3 million in the first half of 2018. Adjusted EBITDA for the first half of 2019 was a loss of RMB48.2 million compared to an adjusted EBITDA of RMB6.5 million in the first half of 2018. Before I discuss our outlook for the third quarter, I would like to provide some color on the recent regulatory changes and how they have impacted the auto industry in China. Originally planned for July 2020, China unexpectedly released new national six standards, some of the world's strictest standards for auto emissions, on July 1st, 2019. These auto emissions standards have already been introduced in 15 seriously polluted cities and provinces and will soon be introduced to other cities as well. Due to these regulations, cars that have failed to meet a new emissions standard have been barred from production, sales, and registration in targeted areas. During the second quarter, the majority of individuals planning to purchase cars delayed their vehicle purchases to wait until the new emissions standards took effect. As a result, OEMs and auto dealers desperately reduced their inventories of cars, unable to meet new standards, rushed to introduce unprecedented vehicle discounts, and in doing so, temporarily boosted their car sales in June. However, as the Chinese carmakers have begun the process of building engines and auto parts that comply with the new standards, the supply of new cars has been slow to catch up, further creating uncertainties for car sales in the remainder of 2019. Mindful of these marketplace trends, in the third quarter of 2019, we expect net revenues to be between approximately RMB160-170 million, represented approximated year-over-year growth of 3.0-9.5%. Please note that these forecasts reflect our current and preliminary views of the market operational conditions, which are subject to change. This concludes our prepared remarks for the day. Operator, we are now ready to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We have our first question coming from the line of Allen Klee of Maxim Group. Please go ahead.
Allen Klee: I'd like to start with what you just finished talking about the regulatory changes. Could you help us maybe how you think the path will be of getting through this uncertainty kind of your best guess of how long it might last and then get back to a little bit more clear situation and higher sales, hopefully?
Cynthia Tan: Let me translate to Mr. Wei Wen.
Wei Wen: About regarding your question on how long we'll get to a normal market standard, we expect the impact from national five standard transition to national six standard will last for about one quarter. The impact will be mainly on the third quarter of 2019.
Allen Klee: Okay, but then, just to follow up. Does it have an impact on cars that -- what about -- there's a bunch of cars that will not meet the standard, so does that mean that the overall demand will naturally drop, or your understanding is that they'll get reconfigured to meet the standard?
Cynthia Tan: Let me translate.
Wei Wen: The national No. 6 standard is not implemented in all areas of China. We expect about 70% of the highly polluted cities and areas already implemented the standard, but still, there are remaining areas where the No. 5 standard vehicles can be sold and registered. So, we expect the automakers will move the inventory to other areas to sell through.
Allen Klee: And then, just if I look at the number of auto shows you put on, it was quite impressive -- the growth rate year-over-year -- but it looks like for each auto show, I'm guessing you're making less money. Is that a function that you're moving into smaller cities, or that there's less booths that are being taken up? How should we think about the growth rate in auto shows, and then, the revenue that you'll make per auto show?
Cynthia Tan: Let me translate first.
Wei Wen: The two factors you mentioned are actually part of the reason, but the most prioritized reason is that our industry customers' marketing budgets are greatly reduced due to current market conditions. The secondary reason for the unparalleled growth in our revenue-per-hour auto show growth is, as you mentioned, we actually turned into smaller cities, where there will be less brands and less booths, and thus, lower revenue per auto show.
Cynthia Tan: Does that answer your question?
Allen Klee: Yes, thank you. And then, for virtual dealerships, could you perhaps -- is there any metrics of the number of virtual dealers that you've done, and how that compares, and how you think about how that can potentially grow going forward?
Cynthia Tan: Let me translate first.
Wei Wen: We have launched our auto dealership business in various cities across China, but actually, we are more focused on the iteration and exploration of the product and business model for now. We successfully launched a whole new groundbreaking flagship store of our virtual dealership at the end of the second quarter. This flagship store covers an area of over 1,000 square meters, with independent showcases for 10 different auto brands, which will break the traditional limits of single-brand 4S dealership stores. It is also fully digitalized, equipped with our AI-based in-store traffic management system together with our Cheshangtong system, which is part of our synergy from our acquisition of Longye Corporation in progress. This will allow us to efficiently manage the store and improve the sales conversion rate. We define this new business model as the new car supermarket or new car more. We are seeing very promising progress for now in our flagship store model, and we will further expand the model into other suitable locations once ready.
Cynthia Tan: Does that answer your question?
Allen Klee: Yes. Thank you so much. Maybe just following up on what you've mentioned on Longye. Can you fill us in, in terms of -- is this at the point that it -- has it closed, and have the shares been issued? If they have been, maybe related to that, in terms of the $20 million buyback you've announced, can you say how much of that has been utilized?
Troy Mao: Allen, let me answer your question. Even though there are still uncertainties in terms of regulatory requirements, we expect to close the acquisition of Longye by the end of Q3, so right now, we have not consolidated Longye yet. Regarding the $20 million buyback program, since the board approval, we have initiated buyback activities from the open market. You will definitely expect to see the results from Q3 financials. Right now, we cannot disclose more than that.
Allen Klee: Okay, thank you. And then, maybe my last one, and then I'll get back in the queue. Last quarter, you talked about a partnership you were going to be entering in with Easyhome, which I think had around 200 potential locations. Could you maybe provide an update of where that stands?
Cynthia Tan: Let me translate.
Wei Wen: Actually, our cooperation with Easyhome is progressing very smoothly for now. We already have 42 other shows in 40 cities, with our venue cost since our cooperation announced in late April. We will further bring our auto show to Easyhome's over 300 home furnishing malls in 200 cities across China and improve the consumer experience and cost efficiency of our future auto shows and virtual dealerships.
Cynthia Tan: Does that answer your question?
Allen Klee: Yes, thank you so much.
Operator: Thank you. Next question is from the line of Laura Liu of Stone Street Group. Please go ahead.
Laura Liu: Thank you. This is Laura. Can you please tell us a bit more the color of the background and the role of the new COO, Mr. Yuan, like his expertise? And also, how is he going to help the Company to grow in the long run?
Cynthia Tan: Thank you, Laura. Let me translate the question first.
Wei Wen: First of all, we warmly welcome Mr. Hui Yuan to join our TuanChe family. Mr. Yuan has over 18 years of experience in China's automotive industry. He specializes in the management of product development operations, sales, and marketing. Mr. Yuan was once President and Chairman of the Product and Technology Committee of Bitauto Holdings, and after leaving Bitauto, as Founder and CEO of Huimaicho. He co-founded XiongmaoCar. Before launching his career in the automotive industry, Mr. Yuan also held product R&D positions in several Chinese internet companies, including Dangdang.com. As our new COO of the Company, Mr. Yuan will oversee the development of our omni-channel marketplace as well as the ongoing optimization of user experience. In addition, he will lead the Company's efforts in product research and development, online marketing, big data operations, and new sales and marketing initiatives.
Cynthia Tan: Does that answer your question, Laura?
Laura Liu: Yes. Thank you very much. Also, I'm interested in the synergy of the merger with Longye. I'm not sure if you can just tell us more about the synergy of this acquisition?
Cynthia Tan: Let me translate first.
Wei Wen: As we mentioned in previous remarks, the acquisition is still ongoing. Longye is a leading SaaS provider in the auto industry, we believe its rich product line not only efficiently complements and enriches the existing business line of TuanChe, but also provides great strategic value and synergy for future developments. First of all, Longye's flagship Cheshangtong CRM product allows the sales personnel to directly interact with highly targeted consumers. This will provide a one-stop, one-on-one service from pre-sale consultation to post-sale maintenance. By providing direct interaction and reducing unnecessary levels in the sales funnel, the Cheshangtong CRM systems not only greatly improves the consumer conversion rate, but also provides an efficient tool in sales and stock management. In addition, as we mentioned in previous remarks, Longye also recently developed an AI digital store solutions that maximizes auto dealers' in-store monetization capabilities. This system is using high-definition cameras equipped with AI-based facial recognition to produce precise, multifaceted user profiles to facilitate sales personnel to enhance consumer conversion rate and management efficiency. We are confident that this product offer will enable us to help our industry customers to digitize their operation, utilize the big data analytics, optimize their social media marketing campaigns, improve their sales capabilities, and eventually broaden our industry customer base and enhance user techniques. On the other hand of the synergy, we will also implement the Cheshangtong CRM and AI system for the operation and management of our own virtual dealership flagship stores and achieve efficient remote control and management.
Cynthia Tan: Does that answer your question, Laura?
Laura Liu: Yes, that's great. Yes, thank you.
Operator: Thank you. We have a question from Allen Klee of Maxim Group. Please go ahead.
Allen Klee: Yes, hi. I had two follow-ups. The first was your sales and marketing expense in the second quarter of '19 increased to RMB217.5 million, but tell me if it's correct that this had an unusual amount of stock-based comp, so if I took a more normalized amount of stock-based comp that would be more of a reasonable run rate going forward? Thank you.
Troy Mao: Hi, Allen. This is Troy. Let me take your question. You noted there's a significant increase in Q2 in terms of share-based compensation expense for sales and marketing personnel. Even though we cannot make a guarantee, we will treat it as a one-time event, so we don't expect a similar pattern will be maintained going forward.
Allen Klee: That's great. Thank you so much. My last question, this is really not a fair question; I apologize, but I'm going to do it anyway. If you did not see the regulatory change impact on the results during this quarter, even given the tough macro environment you're in, do you think that you would have hit your guidance for 2Q '19?
Cynthia Tan: Let me translate the question first.
Wei Wen: Hi, Allen. Actually, this regarding the national six standard implementation impacts, the macro economy slowdown is still our major reason for our revenue slowdown. So, even excluding that impact, we are still seeing stronger-than-expected market headwinds, so this is why we missed our guidance.
Allen Klee: Okay, thank you so much.
Wei Wen: As a follow-up the national six standard implementations actually enlarged our pressures in meeting our guidance.
Operator: Thank you. [Operator Instructions] No more questions as of this time. I would now like to hand the conference back to the management. Please go ahead.
Cynthia Tan: Okay, thank you for joining us on today's call and looking forward to seeing you next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference today, and thank you for participating. You may now all disconnect.